Operator: Good day, ladies and gentlemen. Thank you for standing by. And welcome to the EnerSys Second Quarter 2022 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker host today to Mr. David Shaffer, President and CEO. Please go ahead, sir.
David Shaffer: Thanks, Olivia. Good morning and thank you for joining us for our second quarter fiscal 2022 earnings call. On the call with me this morning is Mike Schmidtlein, our Chief Financial Officer; and Andrea Funk, our Vice President of Finance of the Americas. Before we get started, I would like to wish everybody a happy Veterans Day. Last evening, we posted slides on our website that we will be referencing during the call this morning. If you didn’t get a chance to see this information, you can go to the Webcast tab in the Investors section of our website at www.enersys.com. I am going to ask Mike to cover information regarding forward-looking statements.
Mike Schmidtlein: Thank you, Dave and good morning to everyone. As a reminder, we will be presenting certain forward-looking statements on this call that are based on management’s current expectations and views regarding future events and operating performance and are subject to uncertainties and changes in circumstances. Our actual results may differ materially from the forward-looking statements for a number of reasons. Our forward-looking statements are applicable only as of the date of this presentation. For a list of factors which could affect our future results, including our earnings estimates, see forward-looking statements included in Item 2 management’s discussion and analysis of financial condition and results of operation set forth in our Quarterly Report on Form 10-Q for the fiscal quarter ended October 3, 2021, which was filed with the U.S. Securities and Exchange Commission. In addition, we will also be presenting certain non-GAAP financial measures, particularly concerning our adjusted consolidated operating earnings performance and our adjusted diluted earnings per share, which excludes certain highlighted items. For an explanation of the differences between comparable GAAP financial information and the non-GAAP information, please see our company’s Form 8-K, which includes our press release dated November 10, 2021, which is located on our website at www.enersys.com. Now let me turn it back to you, Dave.
David Shaffer: Thanks Mike. Please turn to Slide 3. Our second quarter results reflected a combination of record market demand across all of our segments, with Q2 ‘22 orders 36% higher than the same period pre-COVID fiscal year ‘20, but accompanied by continued inflation and supply chain challenges. We reported second quarter adjusted earnings of $1.01 per diluted share, which was a slight increase over the second quarter of last year. Our Motive Power and Specialty businesses delivered better than expected results, while Energy Systems continue to be disproportionately impacted by its Asia-sourced supply chain. Strong demand led to our quarter end backlog reaching an all-time record exceeding $1 billion, which is more than double normalized levels. The backlog growth primarily occurred in our Energy Systems and Specialty lines of business and is indicative of extremely robust end market demand over and above the COVID recovery. Let me take a minute to provide you some added color of the current economic environment. As has been a common theme among most industrial companies this earnings cycle, we are facing a number of challenges in the wake of the global economic recovery as businesses aggressively compete for labor, materials and transportation, all while still navigating isolated COVID disruptions. The trend we saw in Q1 has continued with nearly $20 million of sequential cost increases in freight, wages, lead, non-lead commodities and semiconductors. Our team continues to take aggressive actions to mitigate these pressures, including the implementation of additional price increases, resourcing of materials and engineering redesigns. As these issues stabilize, our financial results will more fully reflect our record backlog, enhanced profitability and across-the-board demand for our products. I’d now like to provide a little more color on some of our key markets. Please turn to Slide 4. Let’s start with our largest segment, Energy Systems, which continues to see robust demand with Q2 ‘22 order rates increasing over 50% compared to pre-COVID Q2 ‘20. We saw exceptionally strong demand in 5G mid spectrum and broadband. We also received our first orders from the California Public Utilities’ public safety grid shutdown extended network backup program. Shipments for these orders are expected to ramp in Q3, Q4 and into fiscal year 2023. In addition, we believe these programs may be extended to other states presenting another opportunity for future growth. Countering the strong demand is the fact that Energy Systems has our longest and most complicated supply chain, which was therefore the hardest hit by the macroeconomic environment in the quarter. The Energy Systems price recapture cycle is longer due to the project nature of this business while working through the contractual obligations of its lengthy backlog. As a result, in Q2, ongoing pricing actions lagged inflation and were largely offset by mix with more service revenue offsetting higher margin electronics orders that could not be shipped or could not be delivered due to chip shortages. Tariff mitigation strategies, including our efforts to move contract manufacturing out of China and closer to home, continue to be slowed by semiconductor availability. Freight costs for Energy Systems alone rose sequentially an additional $6 million in the quarter, doubling the prior year level. While Energy Systems’ operating earnings this quarter were disappointing, market demand and macro trends, combined with additional price increases and the resourcing of electronics, still point to an extremely positive long-term path for the business. However, due to the current state of the global supply chain, especially availability of semiconductors, our third quarter will remain challenged. That said, as many of our commodities’ inflation trends appear to have peaked, we are confident our price recapture initiatives will catch up in the near future. Please turn to Slide 5. Despite the challenges we noted in our Energy Systems business, one of EnerSys’ core strengths is our diversification. Our Motive Power business continued its positive momentum during the quarter outperforming both top-line and profitability expectations as demand returned to pre-COVID levels. Revenue decreased $15 million from Q1 due to the traditional European summer holidays. Nevertheless, we believe this business has not yet reached its full potential as our OEM customers’ demand has been hampered by their ability to secure chips. Margins improved as a result of price and mix improvements as well as ongoing OpEx efficiencies with Motive Power enjoying nearly 20% higher operating earnings than the same pre-COVID period in F ‘20. Our NexSys TPPL and recently released lithium variants continue to generate enthusiasm in the market. In addition, the restructuring of our Hagen Germany facility nears completion ahead of schedule on cost and timing, with savings beginning to be realized. We will also continue to extract additional savings with further standardization of our legacy product offering and other business transformation initiatives. We remain well positioned to benefit from a steady recovery in this business throughout the balance of the fiscal year. Please turn to Slide 6. Similar to Motive, our Specialty business delivered a solid quarter. A&D is performing well and demand in the transportation business remains extremely strong, slowed only by TPPL supply constraints in Americas and Europe. We expect very robust transportation growth in Q3 as a result of our focus on aligning capacity with demand and our belief that the truck market will continue its growth into calendar year ‘22 as a result of the improving economic – improving economy and their anticipation that chip shortages will improve. Our Thin Plate Pure Lead production capacity continues to grow and we will exit the fiscal year at our planned run rate of $1.2 billion per year. The financial performance for TPPL manufacturing has been under significant pressure all year long with COVID-related staffing and supply chain shortages hampering productivity. We expect significant reductions in manufacturing variances next fiscal year as the supply chain issues slowly subside. Reduced manufacturing variances combined with a record backlog and continued strong demand signals from our transportation customers gives us immense confidence in the future of our Specialty business. Please turn to Slide 7. Our product roadmap is one of the most exciting areas of our business as the technology advancement of our product pipeline has been long in the making, but well worth the wait. We have fully launched 11 lithium variants for Motive Power Group and continue to expand our product portfolio. We have received OEM approvals and the family has successfully completed, all witness to our testing. The demand for lithium products throughout our Energy Systems Group also continues to grow. In addition to the lithium portion of the California PUC success mentioned earlier, telecom and residential home energy products are all performing well on UL tests. Progress on the development of the TouchSafe product with Corning continues to go well. Customer plans for their high-frequency networks using this solution are accelerating. Last but certainly not least, our EV fast charge and storage initiative is quickly moving forward. Feedback from our potential launch partner customer has been very positive, including speed and development as well as the level of software maturity. We should see our first revenue for this product next fiscal year. EV charging is a key focus of the recently passed Infrastructure Bill. Please turn to Slide 8. Looking ahead, our near-term challenges revolve around addressing global supply chain issues as well as rising commodity and labor costs and shortages. We are actively working to mitigate these pressures through incremental price increases, alternative sourcing, engineering redesigns and aggressive hiring actions. We will remain nimble as we adjust to the changing environment. Despite these hurdles, there is a lot about EnerSys to generate real excitement. Current demand for our products is greater than I can ever remember, fueled by a massive 5G build-out and high growth categories such as transportation. Our future growth opportunities include significant investments in rural broadband, high frequency small cell deployment, EV charging, home energy storage, transportation market share growth, increased defense allocations and material handling OEMs returning to normalized levels. We will continue to execute on our strategic initiatives and look forward to providing you updates on our progress in the quarters ahead. With that, I’ll now ask Mike to provide further information on our second quarter results and go-forward guidance.
Mike Schmidtlein: Thanks, Dave. For those of you following along on our webcast, we have provided the information on Slide 9 for your reference. I am starting with Slide 10. Our second quarter net sales increased 12% over the prior year to $791 million due to an 11% increase from volume and 1% from price, net of mix. On a line of business basis, our second quarter net sales in Energy Systems were up 9% to $370 million, Specialty was down 3% to $101 million and Motive Power revenues were up 22% to $321 million. Motive Power’s improvement was mostly from 20% growth in organic volume and 2% improvement from pricing. The prior year Motive Power second quarter revenues were significantly impacted by the pandemic, resulting in a 21% decrease in organic volume. Our Motive Power revenues for H1 of this year, however, are comparable to the pre-pandemic levels of two years ago. Energy Systems had a 9% increase from volume as well as 1% improvement from FX, but had a 1% decrease in price after including negative mix. Specialty had a 5% pricing improvement that was offset by an 8% erosion in volume due largely to delayed shipments. We had no impact on revenue from acquisitions in the quarter. On a geographical basis, net sales for the Americas were up 14% year-over-year to $550 million, with 14% more volume. EMEA was up 5% to $180 million from a 3% increase in volume and 2% in pricing. Asia was up 10% at $661 million on 7% more volume and 3% currency improvements. On a sequential basis, moving to Slide 11, our second quarter net sales were down 3% from the first quarter, largely due to the normal vacation holidays in Europe and supply chain shortages. On a line of business basis, Specialty decreased 6% with supply constraints pushing out order fulfillments into Q3. Motive Power was down 5% due to the European holiday season previously mentioned and EMEA was flat – excuse me, Energy Systems was flat. On a geographical basis, Americas was also relatively flat and Asia revenues were up 8%, while EMEA was down 11% mostly from lower volumes. Please now turn to Slide 12. On a year-over-year basis, adjusted consolidated operating earnings in the second quarter decreased approximately $5 million to $61 million with the operating margin down 160 basis points. On a sequential basis, our second quarter operating earnings dollars eroded $14 million from $75 million, while the OE margin decreased 150 basis points to 7.8%, primarily due to the persistent supply chain headwinds and inflation in Energy Systems, which Dave has addressed. Operating expenses, when excluding highlighted items, were at 14% of sales for the second quarter compared to 15.7% in the prior year and 16.1% from two years ago as our revenue growth exceeded our spending growth and we have maintained a more efficient operating leverage. On a sequential basis, our operating expenses were relatively flat. Excluded from operating expenses recorded on a GAAP basis in Q2 are pre-tax charges of approximately $12 million related to $6 million in Alpha and NorthStar amortizations and $4 million in restructuring charges from the previously announced closure of our flooded Motive Power manufacturing site in Hagen, Germany. Excluding those charges, our Motive Power business generated operating earnings of $41 million or 12.8%, which was 370 basis points higher than the 9.2% in the second quarter of last year due to strong demand and easing of pandemic-related restrictions, favorable mix from maintenance-free growth and ongoing OpEx constraint or restraint. Operating earnings dollars for Motive Power increased over $17 million from the prior year and $6 million from two years ago. On a sequential basis, Motive Power’s second quarter OE decreased 220 basis points from the 15.1% margin posted in the first quarter due to the vacation season volume decline noted earlier, along with higher lead and other input costs. Energy Systems operating earnings percentage of 2.3% was down from last year’s 8.8% and the prior quarter’s 3.5%. OE dollars of $9 million were $5 million below last quarter and $22 million below prior year. The cost from higher freight, tariffs and materials caused the OE erosion with unfavorable mix from supply shortages offsetting the lagging pricing improvement realization. Specialty operating earnings percentage of 11.8% was up from last quarter’s 10.6% and last year’s 11.4%. OE dollars were largely flat sequentially and year-on-year, driving the margin improvement from improving pricing was the lower sales volume. Please move to Slide 13. As previously reflected on Slide 12, our second quarter adjusted consolidated operating earnings of $61 million was a decrease of $5 million or 7% from the prior year. Our adjusted consolidated net earnings of $44 million, was in line with prior year but $11 million lower than the prior quarter. Our adjusted net earnings reflect the changes in operating earnings along with the lower adjusted tax rate. Our adjusted effective income tax rate of 16% for the second quarter was slightly below the prior year’s rate of 17% and lower than the prior quarter’s rate of 18%. Discrete tax items caused most of these variations. Second quarter EPS rose slightly year-over-year to $1.01, although it was slightly below the bottom of our guidance range. We expect our weighted average shares in the third fiscal quarter of 2022 to be approximately 42.5 million versus the 43.3 million in the second quarter. As announced in our subsequent events footnote and last night’s press release, we acquired nearly 743,000 ENS shares for just under $57 million after the second fiscal quarter ended. Our Board of Directors also recently renewed the $100 million share buyback authorization we had in place over the last 2 years that was completed with these recent October purchases. Last week, we also announced our quarterly dividend, which remains unchanged from prior levels. Slides 14 and 15 reflect the year-to-date results and are provided for your reference, but I don’t intend to cover these at this time. Please now turn to Slide 16. Our balance sheet remains strong and positions us well to navigate the current economic environment. We have $408 million of cash on hand and our credit agreement leverage ratio is now at 2.0x, which allows nearly $550 million in additional borrowing capacity. In July, we extended and amended our credit facility on favorable terms, which now is in place through 2026. We expect our leverage ratio to remain between 2.0 and 2.5x in fiscal 2022. Our year-to-date cash flow from operations was a negative $66 million. Included in that amount was $28 million in spending on the previously announced restructuring of our Hagen, Germany Motive Power Plant, which is in the second quarters – which in the second quarter started delivering on cost savings that should exceed $20 million annually. The negative operating cash flow was also due to our inventory expanding $123 million to meet rising revenues as well as from higher input costs and transit times, along with the other inefficiencies induced by supply chain disruptions. Capital expenditures of $35 million were in line with our prior guidance. Our CapEx expectation for fiscal 2022 remains approximately $100 million and reflects major investment programs in lithium battery development and our continued expansion of our TPPL capacity. We anticipate our gross profit rate to remain near 22% in Q3 of fiscal 2022. As Dave has described, all three of our lines of business find their products in high demand. Near-term supply challenges are restricting our ability to execute fully on these opportunities. As a result, our guidance range of $0.96 to $1.06 in our third fiscal quarter of 2022 reflects the impact of these supply chain challenges, which we continue to see as temporary. Please move to Slide 17. On a longer term basis, we recently renewed – or reviewed our updated 5-year plan with our Board of Directors. We remain confident that our top-line growth and overall profitability goals are still achievable with respect to the final years’ deliverables. However, those targets, as previously communicated, will take an additional year to be achieved compared to our Investor Day model in reflection of the delays the pandemic and supply chain challenges have had not only on our own progress but that of our customers and their broader markets. Now, let me turn the call back to Dave.
David Shaffer: Thanks, Mike. Before we open the line for questions, I would like to discuss an announcement we made last night along with our usual filings. After more than 25 years with the company and 12 years as Chief Financial Officer, Mike has announced his intention to retire at the end of this fiscal year. While we will miss his wisdom and experience, we are very confident that Andy Funk is the right person to fill this role and help EnerSys complete its transition from a battery maker to a world-class energy systems leader. Operator, we will now open the line for questions.
Operator: Thank you. [Operator Instructions] And our first question coming from the line of Noah Kaye with Oppenheimer. Your line is now open.
Noah Kaye: Hi. Good morning and thank you for taking the questions. And I’d start by congratulating Mike on his upcoming retirement and to Andy on her succession in the role. Good luck to both of you. And thanks, Mike.
Mike Schmidtlein: Thank you, Noah.
Andrea Funk: Thank you.
Noah Kaye: So, maybe just focusing on Energy Systems to start. And this is, I know, a little bit of a high level question. But how do you think about surely improving Energy Systems to make it a higher quality business, more predictable margins, better ability to pass on cost inflation? I mean, the price cost headwinds that were in this segment this quarter, maybe outsized concerning how rapid inflation is, but now have the ability to get price and obviously dealing with some significant supply chain constraints aside. How do you think about improving this business over the long-term?
David Shaffer: Yes. Thanks, Noah. This is Dave. The challenges in a lot of ways started with the tariff pressures and then sort of continue to grow headwind-wise with the shortages we experienced and the supply chain challenges. So – and they are all sort of mixed together in that we’ve had difficulty with our on-shoring of some of the products, significant number of the products due to semiconductor availability. So, we’re – this business is different than the other businesses largely based on its supply chain. And then, the content of semiconductors in this business is much richer. So, to improve the quality of the business, kind of what we’re trying to do first and foremost is what we can control which is pricing. And the price increases we’ve been enacting are lagging the rate in which inflation has been increasing. So, we’ve been chasing it for a while. And that’s – in terms of the competitive landscape, there is no reason to feel our competitors have any less susceptibility to these pressures. So, it’s just a question of staying at it. And I think what’s in this business compared to the other businesses, it’s more of a concentrated customer base. And so, I think that’s part of the challenge has been pushing through. And I think, these customers were able to stiff arm us a little bit longer than some of our other customer bases are. But that said, we’re past that phase now. So we’ve got to get the prices where we need them to be to offset the inflationary pressures. The next piece, and this just really can’t be overstated, a lot of our margin comes from the higher mix content of our electronics products. And that mix has been – it’s been hurt, our mix in this business has been hurt due to the constrained availability of these higher margin products. So, the business is unbelievable in terms of the demand side. And we’re filling the portions of the orders that we can so a lot of service work, batteries, some enclosures, but these are the lower margin pieces of the business. So, I think that as semiconductor availability improves – and we are addressing that significantly, I think we’re up to over 10% of our engineering resources now have been refocused off of new products onto redesigning to build our products around more readily available semiconductors. So that’s been a big initiative for us. And that’s going to help in not only the Energy Systems business but also on the Motive Power business. The charger – the electronics is a smaller piece of Motive but still very important to the margin. So, I think, price recovery and then the next phase obviously is an improvement in mix. And when these two pieces improve, I think, when you couple that with the strong backlog and I think well controlled operating expenses, I think you’re going to see a dramatic improvement in these results. Noah, was there any more color you needed on that question?
Noah Kaye: That’s very helpful. Thanks. I guess, staying with the topic of improving revenue capacity and improving mix, TPPL, good to hear that you’re exiting the year – on track to exit the year at target. As you think about the revenue uplift on that and maybe you want to look at that as something for 20 – for next year, I guess, what are the implications in terms of revenue uplift and what are the implications for the OE dollars? Because obviously there is some mixed benefits with that and there is also, I think, further reduction in manufacturing variances. So, if you can quantify any kind of components of that for us, I think would be very helpful.
David Shaffer: Well, certainly the manufacturing variances have been a very significant headwind this year. So, we’re fighting our way to the $1.2 billion, it’s been without the productivity. We’ve got substantial improvement, I don’t have that number at my fingertips as to dimensioning that, but it’s in the tens of millions of dollars of headwind we’ve been constrained with this year. I’m sure Mike can jump in here in a second and help out with dimensions on the manufacturing variance piece side. And one of the things that we – and this is something that’s – it’s one of the advantages we have in the business is, we’ve had dramatic resin availability issues in our Energy Systems business, which has hurt again on the mix side, that’s beyond semiconductors, there is been a mix issue. We’ve been able to offset that by rotating some of that capacity into our Specialty business to help on the transportation side. So, I think, as the resin availability improves, certainly that’s going to help and be part of the mix story on the Energy Systems part of the business. Mike, do you have some dimensions for us?
Mike Schmidtlein: Yes. I was just – on the TPPL question, no, I would say, we will exit the year at about a $1.2 billion capacity rate. But obviously that means that sequentially going into next year, we should have $200 million to $300 million of additional TPPL revenue. Now, except in the case of Motive Power, we don’t have any flooded variance that go into the Specialty transportation market or in Energy Systems because we, for the most part, sell exclusively TPPL. It’s not a swap like you might find in Motive Power where we’re taking flooded Motive Power grab selling a maintenance-free solution of TPPL where you get perhaps an incremental margin improvement over the flooded going to TPPL. In this instance, it’s really just sales that we would capture with this increase in market share, which is really what we are doing is taking more market share. So, if we get that kind of number and you put down that – you’re talking about the amount of – the improvement itself is pretty substantial. If we can get the variances down the integration, you get the incremental sales of additional TPPL volume, then you’re talking about probably $50 million plus of operating earnings on a full year basis. And it could be higher depending on how well we execute.
Noah Kaye: That’s very helpful. It just seems with these two levers, improvement in Energy Systems and TPPL, I mean there is a clear path to increase the operating earnings over the coming years. I think, the last question really is around the EV charging opportunity. It’s good to hear that you’re expecting some revenue next year. Can you just give us a little bit more color on where you’re at in the development of the program? Some of the things you’re doing to make sure that the storage system, plus the charging infrastructure, delivers respect for the customer? And any kind of additional color on specific timing within 2023 would this be sort of front half or back half of the year?
David Shaffer: Sure. Let me kind of resummarize that project. So, we are going to put together a system that is an energy storage – a battery energy storage system that’s behind the meter. So it’s on the customer side of the meter and it’s between, let’s say, 350 and 500 kilowatt hours of battery energy storage. So, picture it’s like half of a sea container-sized battery system. And so, that energy storage system is also connected to some 160 kilowatt charging pedestals. And so, we can use those charging pedestals to provide very rapid charging for electric vehicles. And our target so far for this system is commercial real estate partners that have the – that enjoy the benefits and the mixed use of this system. So they can not only enjoy the energy storage system in terms of peak shaving and solar renewable integration, emergency backup power, but they can also use the battery to provide a very rapid charging, the fastest available charging for their EV clientele that want to charge their battery at the highest possible rate. So, in most cases, 99% of the time, our system will be able to provide more charging power than the vehicle is capable of accessing. So, it’s a nuanced focus that we’re going after. This isn’t a big B2C change. We have a limited number of partners and the project is moving exceptionally well. We have a good review of the project status with the Board recently, our CTO. And again, as I noted earlier, my focus is the initial $100 million plus order for the trial phase. And that $100 million looks like it’s going to start next year, which we’re very, very excited about. So, it’s excellent progress. And as you may have noted, there is significant levels of committed dollars in the recently House-passed Infrastructure Bill and dedicated toward energy – toward electric vehicle charging. And on top of that, there is also a tremendous amount of monies available in that Infrastructure Bill to grid modernization. And a big part of grid modernization is going to be the introduction of energy storage systems so that you can separate when you make electricity versus when you use electricity. That’s the beauty of these energies – these battery energy storage systems. So, I think there is a lot of potential. That Bill took a little longer to get through than we had expected, but the pieces that are important to us are very solid. And while we’re on the topic of that Bill, one of the most important parts of that Bill that just comes straight into our business is the $65 billion that’s dedicated for rural broadband initiatives. And in my experience, for many, many years, you have to figure at least 2% of that $65 billion is going to be related to power. And so, we’re extremely well positioned on providing a vast array of power solutions for our broadband customers to help as they push their networks deeper and closer to rural America. It’s a project that’s near and dear to my heart. Frankly, I think it’s a tremendous unlevel playing field between rural America and urban. And I couldn’t support this project more fully. So, there is a lot of good things even beyond the on and off the energy or the grid improvements. And then, finally, the electric vehicle charging, I think the Infrastructure Bill is well matched to our investors.
Noah Kaye: Great. So, thanks for all the color.
David Shaffer: Thank you.
Operator: And our next question is coming from the line off Greg Wasikowski with Webber Research. Your line is open.
Greg Wasikowski: Hey. Good morning, everyone. Thanks for taking the questions.
David Shaffer: Good morning.
Greg Wasikowski: I was wondering – good morning. I was wondering if you could speak to the Energy Systems backlog, is that strength mostly attributed to pent-up demand from the supply chain headwinds that we’ve been seeing or is this maybe the start of the inflection point, the 5G hockey stick, or is it some combination of both? Thanks.
David Shaffer: It’s mostly – there is two major pieces to it. One is, orders for power systems for mid-spectrum 5G build-out. So, our customers are building out the mid-spectrum right now, and they are installing – you can envision a – maybe like a refrigerator-sized cabinet that’s filled with electronics and batteries. And they are using these cabinets to provide power and back-up power to their 5G antennas. So that’s a big part of the backlog. And then, the other – another big chunk of the backlog is related specifically to the California Public Utilities Commission program. As you know, the wildfires in California have created the need for PG&E and others to cut power to prevent additional fires. So – and it’s very frustrating for folks who live out in California to lose power so often. And sometimes these power outages are long depending on the winds and the weather conditions. So, the California Public Utilities Commission has mandated that anybody providing Lifeline 911 services provide a much longer extended backup. So, in the past, one of the options obviously was using generators for these extended backups. But I know there are some concerns about generators and potentially putting into these fire hazard situations. So, a lot of our customers are opting to use batteries instead. So, that’s a big chunk of the backlog as well. And then, not in the backlog yet, but should be starting, we are getting much stronger signals that some of the small cell 5G projects are starting to heat up a little bit. So, that’s a more – that piece of the 5G isn’t in there. It’s mostly right now in the backlog. It’s the 5G mid-spectrum. And then to your question, we use – for a lot of these systems businesses, we use contract manufacturers. So, there is a lot of capacity for us to do more on a revenue basis. What’s constraining things right now is the availability of the semiconductors. So, what a lot of these semiconductor distributors and suppliers are doing is allocating their supplies based on your historic usage patterns. And our allocations are preventing us from achieving the revenue. So, that’s part of the reason this is building up is we just can’t get enough chips. So, as I noted, our engineering department is working very hard to redesign our systems around chips that are more readily available. Some chips are you can get and some chips you have to wait a long time on depending on whether they are a, b, or c items at the foundry. So, that’s a big part of the initiative. So, once we can get our designs around available chips, we are going to be able to ramp up. And then part of our ramp up on contract manufacturing is on-shoring that to avoid some of the tariffs we have historically paid to contract manufacturing from China. So, a lot of our historic contract manufacturing has been Chinese based. And that’s part of the pressure I had mentioned to Noah earlier. Part of the pressure is we haven’t been able to unwind ourselves from that simply because our onshore contract manufacturers can’t get an allocation of the chips they need for our products. So, it’s a bit frustrating, but it is going to improve and we are very excited about our ability to flex up on that contract manufacturing piece.
Greg Wasikowski: Got it. Okay. Thanks, Dave. Could you comment on the recent delays you have seen in the 5G rollout for the airline safety issues? Is this something that could evolve and end up impacting demand in 2022 and beyond or do you think it’s more short-term in nature?
David Shaffer: This – I don’t think this is the first time this concern has been flagged. I think this is – and the feedback we have received from our customers is that it’s something they don’t expect to be a long-term disruption to the business. And it’s related specifically to one of the frequencies that they are building out. So, they have different – there is the C-band obviously and there is other frequency as well. And it’s possible that that may get people to rotate more focus on some of the small cell construction as well which operates at a much higher frequency. So, but – no, I haven’t heard anything from our salespeople or from Drew or anybody yet about that being viewed as a long-term concern.
Greg Wasikowski: Okay. Great. And thanks for the color. And Mike and Andy, congrats to both of you.
Andrea Funk: Thanks, Greg.
Mike Schmidtlein: Thanks, Greg.
Operator: And our next question is coming from the line of John Franzreb with Sidoti. Your line is open.
John Franzreb: Good morning, everybody and congrats Mike and Andy. I would like to start with the motive power business, a good quarter. I am curious whether or not this is a recovery of some pent-up demand from last year or has there been a meaningful change in the order trends? I know there was once a time you used to talk about global order rates. Has that moved meaningfully in the recent months?
David Shaffer: I would say that what we are seeing in motive is sort of a getting back to normal. I don’t know that from a backlog perspective, an order rate perspective that you are seeing much when you – I just told my people, I don’t even look at the coverage area anymore. I don’t want to – I don’t use it as a reference or a measuring stick for anything. So, I make everybody go back a year prior. And what we see mostly, the biggest story line in motive from my perspective is that our OEMs, our OEM customers are very constrained on their ability to ship. And they are having massive semiconductor and other supply chain issues. I am very sympathetic. And so, their build rates are still below normal levels and that – so as their backlogs – they have big backlogs of which we haven’t seen the orders yet for the batteries to go along with that. So, they need to dig out. They are working with their suppliers. Their engineers are doing the same thing. Ours are redesigning things. So, there is some runway left in the backlogs that our OEM customers have. And then, to your point, I don’t see motive – to me, Motive is just getting back to where it should be. And we – it’s much more of an acute issue in Energy Systems in terms of the semiconductor content. But as I noted earlier, motive has not been immune to that. There has been a lot of emotion and teeth gnashing even in the last week about making sure because the margins on these products are accretive and we miss the mix impact. So, part of the upside we have in motive yet to come is the OEMs getting back on a stronger footing, improving our mix with some more chargers in. And Shawn, who is leading that business, has got a very keen focus on operating expense, efficiency and modernizing some of the things. And I noted in my prepared remarks about some standardization initiatives we have. So, we still have a tremendous amount of runway left on that business, which I am very excited about.
John Franzreb: Okay. And maybe just for my clarification, you have mentioned something earlier, on the transportation truck product line, how much of that product is sold directly to OEMs and how much is sold to retail channels?
David Shaffer: So, historically, our focus, as we have noted in the prior calls, is a lot of it was with the truck OEMs, the factories.
John Franzreb: Right.
David Shaffer: But what we have rotated to because the truck build rates this year have been a little similar to the forklift market. The truck build rates are not yet back where they have been focused. So, what our sales teams have done is, they have put more emphasis on the – what we call, the OES, it’s the operating original equipment service groups. So, that’s been a tremendous opportunity. So, they are both for OEM customers, the ones for the factory and ones been on the service side. And then, in addition, as we have noted, but we just haven’t had the capacity to fully realize yet is that there is a tremendous amount of opportunity in the premium automotive space. And that’s – so if you remember from the Investor Day, we said our target is to achieve 20% market share in the Class A market and 2% market share in the automotive. And I still feel extremely confident that we are on track to achieve that as we bring on additional TPPL capacity. Mike, do you want to add anything?
Mike Schmidtlein: Yes. I was just going to say, John, the one thing you have to keep in mind on the truck OEM market is that oftentimes we focus on some of the big fleet operators and leasing companies. And they are really the ones that are driving the TPPL demand at the OEM level, because they are requiring the manufacturer of that vehicle to put our batteries into it. So, it’s that pull-through that is really important to us. The OEMs themselves generally oftentimes don’t have a great deal of incentive to put in a superior battery, because they poorer the battery, the more likely they are going to be back at their OES level replacing them out sooner. So, we focus on the pull through from the customers themselves.
David Shaffer: Yes. That’s good point, Mike.
John Franzreb: Thanks. That helps. And just one question that’s kind of bug me here. You maintained your CapEx number at $100 million, but it looks like you only did about $35 million in the first half. That’s just a sizable step up in the spend. What are you spending it on? Where is that money going to?
Mike Schmidtlein: Well, it remains – the biggest line item is still the TPPL build-out. And some of those chunks are a little choppy in terms of when those suppliers and equipment makers were delivering on their milestones. So, our expectation is that we will fully use up the $100 million, although it would look like the run rate would appear that that’s not the case. But we are still fairly confident that that’s based on the projects that we have and where we see them progressing that we will spend all of the $100 million.
John Franzreb: So, where do we stand in the TPPL build-out? What’s kind of run rate we are at today?
David Shaffer: Right. As I noted, right now, we have – we are going to exit this year at a $1.2 billion revenue runway. And the max, as we are building out an additional CapEx is going in, we are working to a $1.6 billion number and that’s been previously communicated, so.
John Franzreb: Correct.
David Shaffer: That’s where we have been at.
Mike Schmidtlein: Hi Andy, that’s – those are the right figures. Do you have any other color?
Andrea Funk: Yes. I think Mike had good – it’s about $200 million increase a year, a little more than that. But it’s actually a little higher because of some of the price increases that I have been getting with quantity.
John Franzreb: That’s true.
David Shaffer: Okay.
John Franzreb: Okay. Thank you, guys, for taking my questions.
David Shaffer: Thanks.
Mike Schmidtlein: Thanks, John.
Operator: And our next question is coming from the line of Greg Lewis with BTIG. Your line is open.
Greg Lewis: Hi. Thank you and good morning, everybody and hey, congratulations Andy and Mike. Thanks for helping me over the last couple of years. I guess, my first question is around, it’s very well – been very well publicized everywhere that transportation, supply, logistics remain a concern – are going to remain a concern, is there anything that EnerSys is thinking about in terms of trying to minimize those risks, i.e. may be looking at potentially doing medium or longer term logistics transportation agreements? Really what I am trying to understand is, clearly the quarter was hurt. It looks like next quarter is going to be hurt. Is there any kind of the way we can think about maybe returning to a more normalized supply chain where your margins aren’t getting dinged by that?
David Shaffer: We had noted in the prepared remarks a lot of the things we are doing. So, on the semiconductor availability, we are trying to redesign products around more readily available chips. So, that’s going to help mix – and that’s going to help the top line as well. So, the on-shoring has been a big, big issue with the tariffs. And we think that once we can free up and get our products designed around more readily available chips, that’s going to accelerate some of the on-shoring. In terms of the freight, that one has been particularly frustrating. I had a call with the CEO of one of our contract manufacturers in Thailand. And I was talking about chips and he was talking about freight. So, I mean the freight piece has been unbelievably – it’s added a lot of inventory to our balance sheet. It’s pressured the P&L. We have told you, it’s been staggering. Now, again, we are not unique in terms of an Asia-based supply chain for a lot of these systems products. So – but to your point, we are always going to be chasing the price increases until we get a slowdown or an inflection point. So, the biggest things we are focused on right now in terms of innovative thinking on freight and freight agreements, I don’t have any good specifics for you. I am certain our transport team is doing what they can. And I will try to come back with what some of the initiatives they have. But in general, the freight lines, both air and sea, are just congested. The ports are congested and it’s been a big frustration for all of us. Mike, do you have any insights?
Mike Schmidtlein: Yes. Greg, with the price of diesel going up and labor for those drivers, we know that the truckers are under rate pressure and they are passing it through. And most of our focus has been how can we be more efficient in our transportation? So, we are looking at all the ways we move our product between our factories, make sure that we source as close to the point of the end customer as possible. So, that’s really where we are trying to focus on is plan smarter, so we don’t have to be so susceptible to the freight.
Greg Lewis: Okay, great. And then, just one more for me, I mean, in the presentation, you talked about the lithium variants gaining acceptance. I mean any more color you can kind of provide there like maybe how we should be thinking about, maybe calendar year ‘22 in terms of maybe a shift – a business shift next there in terms of lithium acceptance?
David Shaffer: I think from a margin perspective in the inside years, there is not a huge difference between lithium and flooded. So, the TPPL obviously is our best, most favorable on the GP line. So, the rate at which lithium builds out again, part of our challenges with the lithium program is to be fully transparent is that the BMS, which is battery management system. We have semiconductor availability issues as well and electrical component issues as well, which is a constraint. So, some of that, the rate of market acceptance is lithium, I think it’s – we don’t – the industry statistics don’t indicate us losing tremendous amounts of flooded share. And the rate at which we cannibalize and move to lithium is going to be somewhat governed by the availability of semiconductors. And I am certain all of our competitors have the same sorts of challenges. So, that may slow down things a bit. And I think one of the other challenges obviously for our motive power customers is, they are just under such tremendous pressure right now with their own supply chain issues. Things are just a little bit backed up. So – but the point for you is whether we are selling flooded TPPL or lithium. We still have very, very good prospects in the motive business. And the rate at which that conversion takes place, we will just really maybe dictate some of the longer term cash needs we might need for footprint rationalization in the long run. But in the foreseeable future, all of our factories are going to be busy.
Greg Lewis: Okay. Great to hear. Thank you all very much for the time.
David Shaffer: Thank you.
Operator: [Operator Instructions] And our next question is coming from the line of Brian Drab with William Blair. Your line is open.
Blake Keating: Hi, good morning. This is Blake Keating on for Brian.
David Shaffer: Hello, Blake.
Mike Schmidtlein: Hi, Blake.
Blake Keating: I was just kind of curious, what is the outlook for your report with battery business over the next several quarters? Have you noticed that you are potentially losing share to other lithium battery providers and the forklifts in other markets?
David Shaffer: No. I would say, our business is right now as we noted, is in pretty good shape. I think the mix has been hurt because of the electronics availability for the chargers, more so than with the lithium batteries. We have very solid backlog prospects. Our quote log for lithium is very big and our sales force CRM. So, there is plenty of opportunities out there. Right now, it’s just we are in a bit of a supply constrained situation. But Blake, I am not aware of any big changes recently or shared changes. The industry statistics I receive on a fairly regular basis don’t indicate any major shifts. So, for us, it’s just – motive is sort of getting back to a normal footing. I think I love what we have done over the last 5 years on the product, positioning and then I really like what Shawn is doing on the OpEx side. So, I think – again, I think the outlook is going to improve as semiconductors improve. And I don’t – certainly you never want to stick your head in the sand. But I am not aware of any significant share losses to competitive lithium products that have changed in the last six months or eight months or however long.
Blake Keating: Alright. Thank you for the details. And then, have you noticed any systemic limitations to your visibility compared to like a normal supply chain environment? Have you noticed anything just kind of pop up that you didn’t – that you don’t normally see in a normal environment?
David Shaffer: I think surprises is a word I hate. And it unfortunately is a new part of reality. When we are setting these forecasts and so forth, things can come up. A lot of its freight related. A lot of its port congestion related, things that you think you are going to ship this quarter aren’t. And one of the biggest pressures, and Mike was talking about how significant the manufacturing variance pressure has been this fiscal year-to-date is. One of the reasons is because of the significant number of changeovers were forced to do because parts just don’t show up. So, you changeover, you set up the line, you are getting ready to run something and then it doesn’t show. It also creates inventory mismatches where you order lids and boxes and parts for one thing because you are going to build something and then a certain terminal doesn’t show up. And now you are sitting on a bunch of lids and boxes that you can’t use because you don’t have all the parts. So, it’s been the worst. In my 32-year career, I have never seen anything like it. Our ops people, they are working as hard as they can. But surprised it’s after surprise after surprise after surprise. But that said, we just continue to adjust and look forward to a more predictable level of service from our – and most in almost every case, it’s not our suppliers, it’s their suppliers. So and a lot of the root cause issues come down to the same things, which is semiconductors or resins. So, we are all frustrated with it. But it led to an inordinate amount of manufacturing variances this year. And that’s just not TPPL, that’s all of the factors.
Blake Keating: Alright.
David Shaffer: Andy, any – did I miss anything there? Okay. Thanks. Alright, anything else?
Blake Keating: No. I am good. Thank you. Appreciate it.
Mike Schmidtlein: Alright. Thanks, Blake.
David Shaffer: Thanks, Blake.
Operator: I am showing no further questions at this time. I would now like to turn the call back over to Mr. David Shaffer for any closing remarks.
David Shaffer: Well, I want to thank everybody for taking the time to attend our call today. And we look forward to providing further updates on our progress on our third quarter 2022 call in February. Have a good day, everyone.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.